Operator: Greetings and welcome to Rand Capital Corporation Third Quarter Fiscal Year 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Craig Mychajluk, Investor Relations. Thank you, Mr. Mychajluk, you may begin.
Craig Mychajluk: Thank you and good afternoon, everyone. We appreciate your interest in Rand Capital and for joining us today for our third quarter 2024 financial results conference call. On the line with me are Dan Penberthy, our President and Chief Executive Officer; and Margaret Brechtel, our Executive Vice President and Chief Financial Officer. A copy of the release and slides that accompany our conversation is available at randcapital.com. If you're following along with the slide deck, please turn to Slide 2, where I'd like to point out some important information. As you are likely aware, we may make some forward-looking statements during this presentation. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ from where we are today. You can find a summary of these risks and uncertainties and other factors in the earnings release and other documents filed by the company with the Securities and Exchange Commission. These documents can be found on our website or at sec.gov. During today's call, we'll also discuss some non-GAAP financial measures, we believe these will be useful in evaluating our performance, should not consider the presentation of this additional information in isolation or as a substitute for results in accordance with Generally Accepted Accounting Principles. We have provided reconciliations of non-GAAP measures with comparable GAAP measures in the tables that accompany today's earnings release. With that, please turn to Slide 3 and I'll hand the discussion over to Dan. Dan?
Daniel Penberthy: Thank you, Craig and good afternoon everyone. Rand delivered note a strong quarter of performance, driven by disciplined execution and strategic positioning in a complex market environment. We achieved robust growth in total investment income, increasing 27% over the prior year period to $2.2 million. The success was fueled by our commitment to building a well-diversified income-generating portfolio which included 5 new debt instruments over the year and enhanced fee income. Our net asset value per share rose 3% from the prior quarter, and 16% year-to-date, reaching $27.29 at the end of the third quarter. This growth reflects our careful management of a $75 million portfolio, now concentrated 74% in debt investments with an overall yield of 13.8%. These results underscore our focus on creating value through a balanced mix of assets, checking whether today is economic headwinds, while driving attractive returns. Additionally, we successfully exited several key investments this quarter, including a notable sale of SciAps which provided us with $13.1 million in proceeds. We have also sold our final positions in 2 public BVCs [ph] realizing proceeds of $1.3 million; this further strengthens our balance sheet and also increases our capacity for future investments. We initially allocated this capital to reducing our outstanding bank debt, lowering it by $13.3 million, leaving us with a balance of $3.9 million outstanding at quarter-end. We have benefited from recent Fed rate reduction and our debt paydowns, and are seeing lower interest expenses and improved profitability; a positive trend that supports our overall financial performance. With $24 million in total liquidity, we remained strategically positioned to capitalize on market dynamics as they unfold making selective, higher return investments that will further drive growth in long-term value. Our success in achieving strategic objectives over the past few years has translated into real benefits for our shareholders as highlighted on Slide 4. Over this time, we have steadily increased our dividends, with payouts rising from $0.44 per share in 2021 to $0.83 in 2022, and $1.33 in 2023. This year as of Q3 2024, we have paid total dividends of $0.83 per share. Our fourth quarter dividend announcement is expected in early December. Our commitment to a robust balance sheet, optimized portfolio, and strategic capital deployment gives us confidence in our ability to continue delivering meaningful returns for our shareholders, well into the future. Turning to Slide 5, you will see our portfolios distribution between debt and equity along with the recent changes. Our portfolio now stands at fair value of $75 million, spread across 22 businesses. The fair value was down approximately 14% sequentially which reflects a successful exit from SciAps, along with a stock sales in loan repayments from other portfolio companies. With the close of the SciAps transaction, we have progressed [ph] towards our goal of a more debt focused portfolio. And as we have already noted, 74% of our investments are in debt structures, while the remaining 26% is in equity investments in private companies. Slide 6 highlights our activity this past quarter, including a small follow-on debt investment. We did invest $125,000 as a follow-on to ITA; a Florida based manufacturer of blind and shades [ph]. With this additional investment, our total holdings in ITA across both, debt and equity, reached a fair value of $4.9 million at the quarter-end. The bottom half of the slide showcases notable exits for the quarter, led by the successful sale of SciAps. As noted, the exit generated $13.1 million of total proceeds, and this did include $2.1 million from a debt repayment, $165,000 in interest income and fees, and a $10.8 million in equity returns. This transaction resulted in the realized gain of $7.7 million for Rand. Additionally, we received $1.3 million in proceeds from the sale of our remaining shares in two publicly traded BVCs, bearings and FFKKR [ph]. These realized or rather provided realized gains of $249,000 combined. Lastly, we exited on our investment in Mesmerize [ph] realizing a loss on an asset previously valued at zero. Turning to Slide 7, you will see the diversity of our portfolio and the shifts in our industry allocation since the second quarter. These changes reflect both, the portfolio adjustments we discussed, and the portfolio fair value updates. Notably, our professional services allocation increased from 43% to 50% of our portfolio, while manufacturing decreased from 25% to 16%. Additionally, with the sale of our BVC stocks, they are no longer represented in this industry mix. We view this industry diversity as the cornerstone of our strategic approach. By maintaining a wide range of sectors within a portfolio, we post the resilience during economic challenges and better manage risk in our investment portfolio. At the end of the quarter, Slide 8 highlights our Top 5 portfolio companies. Notably, Tilson remains our largest fair value investment with a total value of $12.3 million which has remained consistent with the previous quarter. Its share of our total portfolio has increased sequentially primarily due to a reduction in total assets resulting from the asset sales we previously mentioned. Additionally, following the sale of SciAps, ITA has entered the top 5 rankings. Together, these 5 companies now represent 50% of our overall portfolio at quarter end. With that, I'll turn it over to Margaret to further review our financials in a much greater depth.
Margaret Brechtel: Thanks, Dan and good afternoon, everybody. I will start on Slide 10 which provides an overview of our financial summary for the third quarter of 2024. Total investment income for the quarter was $2.2 million, reflecting a 27% increase compared with the same quarter last year. This growth was primarily driven by a 27% rise in interest income attributed to 5 new interest-yielding investments made over the past year. Additionally, we experienced a $165,000 increase in fee income, largely due to the SciAps sale that Dan mentioned. In total, 21 portfolio companies contributed to our investment income during the quarter. On the expense side, total expenses for the third quarter amounted to approximately $1.3 million, up from $810,000 in the prior quarter. This increase included a $533,000 increase in incentive fees expense during the quarter. We did, however, benefit from a $46,000 decrease in interest expenses due to debt paydowns during the quarter. Incentive fees are comprised of 2 components: an income-based fee and a capital gains fee, both of which are contingent on meeting specified benchmarks. The income-based fee is calculated quarterly based on the pre-incentive fee net investment income with a hurdle rate of 1.75% per quarter or 7% annualized. For the 3 months ending September 30, 2024, this fee accrued at $178,000 with no similar expense incurred in the prior year period. The second component of the incentive fee is the capital gains fees. According to GAAP, we are required to accrue a capital gains incentive fee based on all our realized and unrealized gains and losses. Given the recent performance of our portfolio and realized gains, we recognized a higher accrual this quarter. When we adjust for accrued capital gains incentive fees, our adjusted expenses which is a non-GAAP financial measure, were $1 million this quarter compared to $851,000 in the third quarter of 2023. Finally, our net investment income for the third quarter increased to $887,000 or $0.34 per share from $799,000 or $0.31 per share in the same period last year. The adjusted net investment income per share, also a non-GAAP measure that excludes the capital gains incentive fee accrual expense was $0.46 per share, representing a 59% increase from $0.29 per share in the last year's third quarter. On Slide 11, you will see a waterfall graph illustrating the change in net asset value for the quarter. As of September 30, 2024, net assets totaled $70.4 million, representing a 3% increase from the end of the second quarter of 2024. This change was primarily driven by a net realized gain of $7.2 million from sales and dispositions of investments which was partially offset by a $5.5 million net change in unrealized depreciation of investments. During the quarter, Rand distributed $748,000 in cash dividends to shareholders. Consequently, the net asset value per share as of September 30, 2024, rose to $27.29 per share, up from $26.56 last quarter. As highlighted on Slide 12, we maintain a strong and flexible balance sheet that positions us well for future investments. Total assets decreased by 12% to $79.8 million primarily due to the sale of SciAps and included approximately $3.4 million in cash at the end of the quarter. According to our borrowing base formula, as of September 30, 2024, Rand had $21.1 million available under its existing $25 million senior secured revolving credit facility. Our outstanding borrowings stood at $3.9 million with an interest rate of 8.46% at quarter end. We believe our strategy in shifting the portfolio to incorporate more income-generating investments will enable us to maintain higher dividend levels over time. Rand previously announced its third quarter dividend of $0.29 per share which was paid on or around September 13, 2024, to shareholders of record as of August 30, 2024. With that, I will turn the discussion back to Dan.
Daniel Penberthy: Thanks, Margaret. Moving on to Slide 13. As we look ahead, our strategy remains clear and we are energized by the multiple pathways we have to enhance both our income and value creation. First, we continue to see significant potential in further expanding our debt portfolio, although we will always have the equity exposure which will provide future long-term gain potential. By building on our history of successful debt investments, we are positioned to drive income growth through targeted strategic originations that align with our long-term objectives. We are also committed to deploying available capital efficiently to fuel our growth. Our revolving credit facility provides essential flexibility and recent reductions in Fed interest rates and hopefully some more down the road, combined with debt paydowns, are already lowering our borrowing costs. These factors together set the stage for what we hope are strengthened profitability and increased dividend potential both of which are important pillars of our commitment to our shareholders. Optimizing our portfolio holdings is another priority as we assess current market conditions rather to refine positions and maximize future returns. Additionally, we recognize that our portfolio companies face a complex landscape with inflationary pressures, fluctuating interest rates and M&A challenges. Our role is to support the resilience, helping them navigate these headwinds so they can emerge even stronger. Finally, our commitment to driving shareholder returns is at the core of every decision we make. By growing our investment income, we aim to support increased dividends, contributing to sustainable long-term value for our investors. We are excited about the opportunities ahead and confident in our strategic direction to achieve these goals. Thank you for joining us today and your ongoing interest in Rand Capital. We look forward to updating you on 2 matters, the first is our fourth quarter dividend announcement expected in December and also our quarter and full year 2024 results which will be reported in March. Have a great day.
End of Q&A: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.